Operator: Good morning, and welcome to the D&B's 2012 Second Quarter Teleconference. This conference is being recorded at the request of D&B. If you have any objections, you may disconnect at this time. [Operator Instructions] I would now like to turn the call over to Ms. Kathy Guinnessey, Leader, Treasury and Investor Relations. Ms. Guinnessey, you may begin.
Kathy Guinnessey: Thank you. Good morning, everyone, and thank you for joining us today. With me on the call this morning are Sara Mathew, our Chairman and Chief Executive Officer; Rich Veldran, our Chief Financial Officer; Byron Vielehr, our President of North America; and Manny Conti, our President of International. Also, on his first call with investors today is Josh Peirez. Josh leads Product Innovation, Data and -- and Data and Marketing for D&B, as well as our critical infrastructure project, MaxCV. Here is what you can expect on today's call. First, Sara will begin with a brief review of the second quarter and an update on MaxCV. Then Rich will follow with a detailed discussion of our results, with an emphasis on North America. After that, the team will be available to take your questions. To help our analysts and investors understand how we view the business, our remarks this morning will include forward-looking statements. Our Form 10-K and 10-Q filings, as well as the earnings release we issued yesterday, highlight a number of important risk factors that could cause our actual results to differ from these forward-looking statements. These documents are available on the Investor Relations section of our website, and we encourage you to review this material. We undertake no obligation to update any forward-looking statements. During our call today, we will be discussing a number of non-GAAP financial measures as that's how we manage the business. For example, when we discuss revenue growth, we'll be referring to the non-GAAP measure core revenue growth before the effect of foreign exchange, unless otherwise noted. When we discuss operating income, operating margin and EPS, these will all be on a non-GAAP basis before non-core gains and charges. A reconciliation between these and other non-GAAP financial measures and the most directly comparable GAAP measures can be found in these schedules to our earnings release. They can also be found in the supplemental reconciliation schedule that we post on the Investor Relations section of our website. Later today, you will also find a transcript of this call on our Investor Relations site. With that, I'll now turn the call over to Sara Mathew. Sara?
Sara Mathew: Thank you, Kathy, and good morning, everyone. Thank you for joining us today. And before I share my perspective on the quarter and the outlook for the rest of the year, I would like to briefly comment on the volatility in D&B share price caused in part by speculative reporting in the press last week. It is and always has been our policy not to comment on market rumors, and we do not intend to break from our policy today. Therefore, I would greatly appreciate if you focus your questions on the current business situation. Last night, we reported second quarter results. Core revenue of $384 million was flat to prior year. Operating income was up 5%, EPS was up 11%, and year-to-date free cash flow was $209 million. In North America, where results were in line with expectations, we're cautiously optimistic that the worst is behind us. While the first half of the year was challenging on many fronts, we believe that our top line would gradually improve in the second half of the year due to 3 key factors: first, our new product pipeline is growing, and we expect revenue from our Data-as-a-Service, or DaaS, products to continue to ramp during the second half of the year; second, by the fourth quarter, we will be past the drag on our revenue growth from the accounting changes we discussed late last year; and third, we're making investments in new data sets to bring new values to market. Rich will cover the first 2 drivers, and I will touch on the third, as well as our expectation for the future. So as a reminder, in 2010, we embarked on the technology transformation called MaxCV. While the project will take 1 year longer than we expected, 2 years into this effort, I am more convinced than ever that the opportunities before us are immense. There are several promising new products that are slated for introduction in the fourth quarter and early in 2013 that should drive significant growth in the business. Let me touch on a couple of them today. One of the key benefits of the MaxCV program was the development of a Web service layer to accelerate the innovation process. This service layer allows us to easily integrate brand new data sources to create new value proposition for our customers. This technology enabled us to create a completely new use case for our data, a new B2B online supplier portal. Interestingly, the product idea came to us directly from our global customers who were looking to validate their supplier base. We are taking the idea a step further to produce a scalable solution for both suppliers and customers. By leveraging our global database, our proprietary DUNSRight Process, and leveraging a totally new data source detailed product information, we are creating a view into the importers and exporters of specific products around the world. As a result, we're establishing a database that goes beyond our traditional sources of commercial insight to cover the purchasing habits of specific exporters and importers in the B2B space. For example, we can now identify the specific company in the U.S. that imported, say, printers from a specific manufacturer in Asia. This is valuable information for the supplier looking for buyers for their products outside their home market and also for a buyer looking to do business with a trusted supplier. By providing a compelling value proposition for each party, we believe we will ultimately better connect buyers and sellers around the globe. We are slated to enter a test market with this solution in the third quarter and expect to launch the product in late December or early next year. Initial customer feedback on our solution has been excellent, and we believe this initiative has the potential to generate significant revenue over the next few years. Another exciting new opportunity enabled by MaxCV is in the compliance space, where several customers have asked us to help them tackle concerns around anti-money laundering, FCPA and other related compliance matters. Today, we have approximately $25 million in global compliance revenue. These solutions are primarily focused on authentication. Based on recent customer inquiries, we believe there is a much bigger market opportunity for these types of solutions with several large customers. By leveraging our unique assets, combined with new data topics, such as government-issued watch lists, we believe we can help our customers comply with various regulations around the globe. We expect our first multimillion-dollar compliance solution to be operational by the end of 2012. Now in both these examples, we will be able to scale the solution sets by leveraging our new technology infrastructure. Additionally, while these ideas are predominantly focused on the RMS business, we see similar opportunities on the S&MS side as well, leveraging the DaaS infrastructure. Finally, regarding the build out of the new data supply chain, we made very good progress during the second quarter. Most of the supply chain components have moved from development into component testing. In fact, some things are delivered ahead of schedule and early test results are very good. As such, we remain confident in our ability to deliver a fully functioning data supply chain for our test market by year end. We expect the cost of the project is unchanged at about $160 million through the end of 2012. Let me conclude my remarks by reiterating our commitment to create value for shareholders. Yesterday, we announced that our Board of Directors doubled the size of our discretionary share repurchase program from $500 million to $1 billion, the largest in our history. Since we have already repurchased $230 million of the original authorization through the second quarter of 2012, that leaves $770 million available. At the current prices, this would represent roughly 25% of our market cap. And it is our intent to complete this program over the next 2 years. With interest rates at historic lows, a strong balance sheet and our confidence in the future cash flow generation of our business, this is a very good time to revisit our capital structure. It would also give us the opportunity to reward our loyal shareholders as we complete our transformation. And with that, let me turn the call over to Rich Veldran for a detailed review of our second quarter results. Rich?
Richard H. Veldran: Thank you, Sara, and good morning, everyone. This morning, I'm going to take you through our revenue results in more detail, with an emphasis on North America. Then I'll provide a review of earnings and cash before turning the call back to Sara for her closing remarks. Total company core revenue for the second quarter was $384 million, which was flat with last year. North America, which represents 73% of total company top line, was down 2%, including a 2-point drag from the accounting changes that we discussed in 2011. We will be past this drag by the fourth quarter, for the risk management and Sales & Marketing results were in line with our expectations. Let me begin with a discussion of Risk Management Solutions, or RMS, which declined 5% during the second quarter. First, DNBi was down $1 million in the second quarter. The key reason for the dip in DNBi was weakness in modules, reflecting the delay in innovation on the DNBi platform as we move DNBi to our new development center in Ireland. Our first real enhancement in 2 years, Portfolio Risk Manager, or PRM, was not rolled out until late December 2011, and as such, we missed the large fourth quarter renewal fee. DNBi subscription pricing remained solid in the quarter, with lift in the mid-single digits and retention holding steady in the low 90s. Overall, we continue to expect DNBi to be about flat for the full year. The majority of the RMS decline in the quarter was due to continuing pressure on non-DNBi subscription revenue. Budget constraints led customers to continue to trade down from data subscriptions to smaller usage-based plans. Our RMS project business also declined in the quarter. On a positive note, project spending showed an improved trajectory from last quarter due to increased data usage, primarily from financial services customers. Customer demand per project is improving, and we are cautiously optimistic that we will see a recovery in performance over the next few quarters. Looking ahead, our outlook for full year RMS top line is unchanged. We believe increased innovation on the DNBi platform and the new compliance product that Sara discussed will help support a stronger performance in the second half of the year and set us up for sustained growth next year. For the full year 2012, we continue to expect RMS to decline in the low single digits. Turning to Sales & Marketing. Revenue was up 1%, as continued strong performance from our value-added products was largely offset by a decline in traditional S&MS. More than half of the decline in traditional were due to the ongoing impact of the sunset of our legacy list and labels business, and the remainder was due to weakness in our education marketing business. On a brighter note, value-added solutions were up 11% in the quarter, once again, driven by Optimizer, as well as the ramp in D&B360, our Data-as-a-Service product for CRM systems. D&B360 contributed about 3 points to total S&MS bps during the quarter. We are also encouraged with the initial result of our Salesforce.com alliance, where sales were ahead of our initial estimates. We believe there are opportunities to form additional alliances to sell our DaaS products to new customers not currently reached by our field sales force. Lastly, our smallest segment, Internet Solutions, was up 1% in the quarter. This segment provides sales prospecting tools to customers in the small business space and is sensitive to the macro environment. As such, we expect Internet Solutions to be soft in the second half of the year and that is factored into our current guidance. Looking ahead, we continue to expect North America to be about flat for the full year. We expect our performance to improve modestly throughout the second half as we benefit from traction on new products in both RMS and S&MS. In addition, our results will also benefit from getting past the drag of the accounting change after the third quarter. Turning to International, which represents 27% of company revenue, total core revenue increased 6% during the quarter. Europe and Other, which represented 56% of total International revenue, grew 2% during the quarter, with higher penetration of DNBi across our European market, offsetting macroeconomic pressures. As you know, our footprint in Europe includes both owned and partnered markets, and our worldwide network is a key competitive advantage for D&B. We have begun the process of renegotiating these agreements, and we are pleased to report that we have signed a new long-term agreement with our largest worldwide network partner, Bisnode Information Group, which brings significant benefits to both partners. Under the agreement, Bisnode will invest to expand its coverage, which will strengthen its competitive position in Europe, while D&B concurrently locks in future growth. The new deal reaffirms the success of our partnership model that meets a critical need for our cross-border customers. Moving to Asia Pacific, which represented 44% of International, revenue grew 12% in the quarter. Strong growth from D&B Australia, driven by its core risk and collections businesses and the recent acquisition of MicroMarketing in China, led to this solid quarterly performance. Regarding China, there is nothing new to report on the ongoing investigations. We are executing on the plan that we laid out last quarter, and we've completed the shutdown of our Roadway operation. That said, we remain committed to our long-term strategy in China, as our global customers are continually looking for more insight on Chinese companies. International second half growth is anticipated to look similar to the first half, with our Europe and Other segment facing a tough comparison in the third quarter due to an earlier-than-expected completion of several customer projects last year. Turning to profitability, total company operating income increased 5%, which was in line with our expectations. Our flexible business model is a core competency and allows us to protect the bottom line regardless of top line performance. Last quarter, we said we expected to deliver our original operating income and EPS guidance despite lowered revenue growth by leveraging our flexible business model to right size the cost space. We executed those plans in the second quarter, and we were able to drive higher profitability on flat revenue in the quarter. The actions we took will help drive higher levels of profit in the second half of the year and allow us to deliver our guidance range for operating income and EPS. Diluted EPS for the quarter increased 11% due to the growth in operating income and the impact of share repurchases. During the quarter, we repurchased $200 million of our shares, exceeding our 2012 buyback commitment of $150 million to $175 million. This contributed about 6 points to second quarter EPS growth. This brings the total amount repurchased under the current program to $230 million, as Sara mentioned earlier. Finally, year-to-date, we generated $209 million of free cash flow, an increase of 12%. As a reminder, our free cash flow includes all core and non-core costs, including spending on MaxCV and reengineering. With that, let me turn the call back over to Sara.
Sara Mathew: Thank you, Rich. So to summarize, the second quarter was in line with our revised expectations, and the year is playing out as we laid out last quarter. International is stable, following the recent events in China, and we're seeing improvements in the underlying demand in North America. This, coupled with our new product ramp-up across both geographies, should result in a modest improvement in our revenue trajectory during the second half of the year. As such, we are reaffirming our guidance of revenue growth between 0% and 3%, operating income growth between 4% and 7%, EPS growth at the high end of the range of 8% to 11% and free cash flow of $275 million to $305 million. And with that, we'd like to open up the call for your questions. Operator, could you open the lines, please?
Operator: [Operator Instructions] And our first question comes from Andrew Steinerman with JPMC.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Sara, you just mentioned improvement in underlying demand in North America. I just wanted to understand what you meant by underlying demand. Do you feel like commercial credit, in general, in the second quarter of this year in this country has improved from the first quarter? Are you talking about something that's very company-specific to D&B?
Sara Mathew: Well, we can all talk to what's company-specific to D&B as opposed to broader macroeconomic environment. And by underlying demand, it's about customers reaching out to us to actually work with us for new projects. It also relates to upfront commitment. And this would be on a large product line like DNBi. So let me ask Byron to give you a little bit more color commentary, especially on the customer outreach to us directly.
Byron C. Vielehr: Sure. Andrew, I would characterize it in 2 ways. One is RMS project side, we're starting to see some more activity. We're starting to see some more projects come to life with our customers. We're seeing some big ones relative to compliance, specifically if we're looking at risk and compliance solutions. We've also seen some underlying trends. Some of the verticals are starting to consume more data. So particularly with the DFI, the large financial services organizations, they're starting to consume more data. And our hope is that we'll see that spread to some of the other sectors like manufacturing as well, but they're certainly starting to increase their consumption.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Right. And is DNBi, in the month of July, doing a lot better already than the second quarter?
Byron C. Vielehr: DNBi is flat. It'll be flat for the full year. It's relatively stable. As we talked about, the retention rates are in the low 90s. Retention and lift are up slightly from Q4 and Q1. But as of overall product line, it's relatively flat and will be flat for the full year.
Sara Mathew: How about PRM, Byron, do you want to just talk about our Portfolio Risk Manager pipeline?
Byron C. Vielehr: Sure. The pipeline for PRM is up about 40%, so we're seeing growth on the PRM pipeline, and we're starting to see accelerating sales. That will -- it's a ratable product, obviously, so it will start to flow into the net in the back half of the year. And really, as we hit the big renewal cycle in the fourth quarter is we -- is where we think the PRM sales will start to accelerate.
Operator: Our next question comes from Shlomo Rosenbaum with Stifel, Nicolaus.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: I just want to focus a little more on the DNBi product. And just to make sure I understood, you guys are getting a little bit better lift, a little bit better retention, yet year-over-year, I'm still seeing the revenue down. And is there -- can you just talk about what the clients are looking for or what they're trading down with? Or it seems like they're paying more for the core DNBi product, but they're spending less overall.
Sara Mathew: Byron?
Byron C. Vielehr: Shlomo, this is Byron. I can comment on that. Two things. We are seeing pressure on the module line, so there's our more advanced workflow solutions and customers are holding onto core. So core grew in the quarter and modules shrank; they offset each other. You’re also seeing -- if you recall back in Q4, we had pretty low lift numbers, and so we felt weakness in the fourth quarter, which is a big renewal quarter for us for DNBi, although that core lift is starting to flow into the net line as well. And then the last piece is, obviously, we've not done much in the way of innovation on the platform in 2010 and 2011. We had no major releases. We released PRM late in December. And then, really, the full version of PRM we released in March. And you look at 2 releases around PRM. So the platform just has not had much in the way of innovation. We're now -- has spun up the Ireland development solely and that’s starting to release back onto the platform. So you'll see more innovation in the back half of this year and into 2013.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: So PRM is considered a module, though, right?
Byron C. Vielehr: PRM is a module. It's different than the other 2 modules. DecisionMaker and Account Manager are really workflow solutions for decisioning. As if you're doing a lot of originations, extending credit, credit lines, those modules help you with that. You can set up scorecards and do some of the decisioning in an automated fashion. And so for people who are running a lot of volumes, they're really helpful. PRM is focused on managing the portfolio of your existing credit lines and customers. So you can look at them. It basically buckets the risk in your portfolio. So you can look at it as a snapshot and then think about: Are you taking too much risk? Could you take more risk? And then one of the things we do in that product is we'll give you context relative to other companies like you. Let’s say other companies like you are taking more risk or less risk. That's really helpful for a credit manager and a CFO. So it is a module but it does something different. It's more focused on your book of credit versus originating and making decisions.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: So are you concerned at all that even what you're seeing in people spending less in modules and more on the core, that even if they want to stay in the modules, they might swap out of one of the other modules that they're buying now in order to buy the Portfolio Risk Manager?
Byron C. Vielehr: Yes, they could, but they're pretty different solutions, so they're different value props. We are seeing some customers, because they are under a lot of cost pressure and they're pretty cautious, they're trying to manage costs, they want to hold onto the core DNBi value prop, which is access to data, and they're looking for ways to kind of keep getting the insights and manage my spend. But they're not replacement products; they're very different value props. So we don't see any cannibalization that may happen. We may see some -- we’ve not seen a lot of it, but we may see some customers say, "Gee, I'm doing less the originations, and I really got to focus on the portfolio, and so I’m going to allocate my dollars differently." We've not seen a lot of that, but some customers may choose to do that.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: So in terms of the customers that are buying less modules now, isn't that exactly what they're doing, they're just saying, "Hey, I got to spend less with I have, so hold on to the core data"?
Sara Mathew: Well, yes. But I think, Shlomo, what I would say has happened in DNBi is the lack of innovation for a couple of years is really hurting us from a net revenue standpoint in 2012. So the right way to really address the DNBi issue is with more innovation. That was what we had in call as of the 2006, '07 time frame. I want to actually ask Josh, who is with us today, to really talk about how he sees DNBi and the platform, in general, expand over the second half of '12. Josh?
Joshua L. Peirez: Thanks, Sara. And Shlomo, I think when we looked at the DNBi product in the middle of last year and decided to ramp up our innovation, the first thing we did is we said that on the module side, on the enhanced workflow that the modules provide, we wanted to shift from what was nondiscretionary spend. So we want to shift from discretionary spend to nondiscretionary spend. And so building the tool that helps manage a portfolio is something that all of our clients are doing today anyway. They're using various tools to do that. And by integrating that to their DNBi workflow makes it a very sticky product versus the other modules that are really there and discretionary in their use because they're based on originations or other activities that are going on within the client. Now you're going to see us shift that focus to 2 additional areas in the back half of this year. One is on enhancing the core value prop in the underlying platform so that our client can receive live global data and enhanced financial reporting packages which is something they've been asking for, for quite some time and something we think delivers tremendous value to them. And we will also be providing them with integration tools to other workflows so that, for example, they can integrate their DNBi workflows over to a CRM system with a salesperson and take a bunch of the work out of the system, where they have to be going offline to communicate among departments within a company. So we see great opportunity on the nondiscretionary parts of the spend to enhance our role in the workflow, as well as in the value proposition. And that's the shift we've made with our innovations since the middle of last year.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay, I understand. I don't disagree at all in terms of the innovation. I'm just wondering, if you move to that, whether you’re going to see -- even if it's a different value proposition, just whether to the extent that you move into more of a nondiscretionary spend, the same way you're seeing people trading out of some of those modules for the core as much as you see trading out of the modules in order to buy this Portfolio Risk Manager and ending up kind of net-net where you were before.
Sara Mathew: I don't think so, Shlomo. Josh, you want to try this one more time? Just because this is really about shifting DNBi, which was mostly built in '06 and '07 when the discretionary spend was really high, to actually work in an environment where discretionary spend is going to be low and sustainably low for a period of time. So do you want to...?
Joshua L. Peirez: Shlomo, we see DNBi growing into next year. So we think it's flat this year on the back of the innovation, and we see it growing into next year. We see that because we believe both from the incremental value and the incremental workflow tools that we're delivering, as well as some significant investments we'll be making to enhance our data and underlying analytics on the platform, that we will be seeing growth on the platform. There may well be some customers who choose to shift to some of our newer functionality, but we also expect to see incremental.
Sara Mathew: It should grow.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And just one other thing. On this North American Sales & Marketing Solutions, the growth was like 5.3% last and 1.3% this quarter. Is there -- can you talk about some of the moving parts behind that a little bit more? And is there any change?
Sara Mathew: Sure. We're going to ask Byron to do this in a minute. Remember, the bulk of the decline came in our traditional business, which is a much smaller business. Not a real focus area of ours, but if you look at it over time, it's always been lumpy. So do you want to talk...?
Byron C. Vielehr: Sure, I can comment on it. Shlomo, if you look at the VAP buying, obviously, we had strong growth against the VAP, which the majority of that business continues to grow well. We had a lot of pressure on our traditional S&MS product. And there's really 2 things that fit in that is our list and labels products, as well as our education marketing business. The education marketing business has been under a lot of pressure as a result of local school budgets and so that's put pressure on that. And then list and labels in this macroeconomic environment has a lot of pressure on it. And it's somewhat lumpy, so we see some volatility around the list and labels business as well. And then I guess the last piece, we have gone through and sunset many of the S&MS traditional products. And so that's causing a drag in that line. But it's a relatively small piece of the business, its 20% of S&MS, 5% of North America overall and just had some volatility in it.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Can you just break out how much is education now, how much is list and labels, and how much impact you're seeing from sunsetting products?
Sara Mathew: Kathy, on list?
Byron C. Vielehr: Yes, look, the education business in the quarter was about $11 million, $12 million. On the year, it tends to be in the $50 million to $60 million, and it bounces around a little bit quarter-to-quarter. So if you look at the full year basis, the traditional business is -- call it $100 million and call it between 55% to 60% of that is the educational. The rest is more the traditional products at the list and labels than some other legacy products.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: And sunsetting is impacting you how much this quarter?
Byron C. Vielehr: If you broke it down on the pieces, I'd say the sunset, the older legacy products is a little over half of the decline for the quarter in traditional. The educational business that we talked about was a -- I'll call it 1/3 of it, and then there were a couple of other legacy books product that we still have in there that were also down. So that's how I would think about it. And as we go forward, it tends to be a little lumpy. So if you go back on the trend, we were flat in the fourth quarter. We were down, I think, 6% last quarter. This one is down in the 20, so it's going to bounce around a little bit. It's just it's not going to be a robust grower for us, but it will bounce around a little bit. And at some point, it will level off because I think in the long run, the educational business is a stable business. It just so happened in this particular cycle of the year, there was some pressure on the educational space and there was some lower spending on some projects.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: And Optimizer is continuing its strong growth trajectory since the last few years?
Joshua L. Peirez: Yes, Optimizer continues to grow well. We continue to see demand for it, and some of that is connected to project demand as well.
Operator: Our next question comes from Dan Leben with Robert W. Baird.
Daniel R. Leben - Robert W. Baird & Co. Incorporated, Research Division: First, a small set-up on DNBi, following up on some of those questions. Just help us understand, with the innovation you're now putting a platform in place to do that, what the long-term model for the mix of D&B growth between pricing throughout those modules and retention should look like, as well as were there any specific modules that had higher or lower retention rates in the quarter that led to the lower revenue year-over-year.
Sara Mathew: I think there were 3 or 4 questions in there. So I think the first was the long-term vision on DNBi to ensure we put a lot more value on the platform. Value will be delivered through better data, potentially new data sets, as well as new workflow that is core and integral to what we would call ensuring you can manage your portfolio of risk within your company. We're also going to make it easier to integrate credit decisioning into other workflow applications where there is a natural connection. Josh talked about one very specifically, which is your CRM application, as well as your credit application. Wouldn't it be great if you could actually make those decisions early even before you actually go down a path of taking risk with the portfolio [ph]. That a very, what I would say, the vision for DNBi. We expect that we should continue to see price lifts in the mid-single-digit range. We should see retention in the low 90s, and the big shift that we are making, which Josh talked about, is developing modules that actually work in a place where there is actually very low or no discretionary spend by reducing costs, taking work out of the system is actually an incentive to implement the module.
Daniel R. Leben - Robert W. Baird & Co. Incorporated, Research Division: So basically, in aggregate, you're seeing about the DNBi business as being slightly down on an annual basis every year with all of the growth coming from the modules, is that right?
Sara Mathew: No, not at all. We said DNBi should be flat this year and should grow next year. And it should grow through modules that actually will work in what is considered a low growth environment. And in addition to the core business, having more value on it through better data, that data will be monetized. And I don't want to talk with the specifics of exactly what type of data because I just think that we don't want to tip our hand to competition right now, but you're going to see a very robust innovation pipeline and a rollout of new products on DNBi starts in the second half of the year and goes into 2013.
Daniel R. Leben - Robert W. Baird & Co. Incorporated, Research Division: Okay. Now shifting to the cost side, help us understand sequentially -- rather, the first quarter, how much of the costs that came out were because of the China shutdown and Japan versus kind of recurring costs that were coming out of the business?
Sara Mathew: Rich?
Richard H. Veldran: Yes, let me talk a little bit about costs. So as you know, we went into the year, part of our plan going into the year was a significant amount of reengineering that we did at the end of last year. Part of that was doing the Japan work. Part of that was streamlining other parts of our portfolio. The -- in the quarter itself, that underlying trend was in there. We also took out an additional call it 150 roles globally, excluding China. So that contributed to the improvement in the quarter, as well as shutting down Roadway. Roadway itself, I'd say the cost piece of that was not a significant driver in the quarter. The biggest part of the 5% improvement was really the underlying cost savings off the -- across the business.
Daniel R. Leben - Robert W. Baird & Co. Incorporated, Research Division: Yes, that's helpful. So given the fact that you have the early closure on the international side of the business, just any indications on how Europe is trended through the summer with June, July already in the books?
Sara Mathew: We don't guide mid-quarter, but I'll ask Manny to speak in general terms about how we're doing in Europe with a tough macroeconomic environment.
Emanuele A. Conti: Dan, yes, so the first part or first half of the year for European operations, we're pleased with the results. DNBi continues to meet our expectations. And quite frankly, our customers see the need for it even more on this economic climate given the cross-border capabilities of the product. So we're pleased with the results for Europe thus far, and we expect the results to continue in the second half.
Sara Mathew: Our business in Europe is actually holding up quite well in light of a really tough macroeconomic environment. You should remember, our footprint in Europe is small, and we have a very powerful value proposition because most people in Europe think of their business on a pan-European basis and that's where our assets really play well. And that's where we have our advantage; it's with cross-border customers.
Daniel R. Leben - Robert W. Baird & Co. Incorporated, Research Division: Great. And then last one for me, just could you talk about your views around leverage given the increased repurchase authorization? And talking about getting the rest of that $770 million completed fairly quickly, how you're thinking about what the leverage and capital structure of the business should look like?
Richard H. Veldran: Sure, I'll take that. A couple of things. One, we said that we would do the rest of the program over the next 2 years, so I won't reflect on whether you consider that relatively quickly or not. I would say that where we are today is we're looking at the environment: interest rates are at historic lows, we have a very strong balance sheet, we throw off a lot of cash and we believe our stock is a good investment. In particular, we don't believe that all of the growth we see coming as we finish the end of MaxCV is reflected. So for us, it just makes some sense to go there. We are, obviously, a company that is committed to a strong credit rating. So that's -- our stance on that doesn't change, but we are willing to get out a little bit in front of our typical just in your use of cash because, for us, the environment makes sense to do so.
Operator: Our next question comes from Bill Warmington with Raymond James.
William A. Warmington - Raymond James & Associates, Inc., Research Division: First is I wanted to ask -- I'm having trouble reconciling 2 things: on the one hand, the mid-single-digit price list that you're describing for the U.S. RMS business; and then what we're hearing from customers in the marketplace about price concessions. So should we look at the mid-single-digits as kind of an average number? And I wanted to know if you could talk a bit about whether you are lowering prices even if you're doing it selectively within U.S. RMS.
Sara Mathew: So the mid-single-digit pricing relates to DNBi. So the previous question was specific to DNBi. And so I just wanted to make sure that you understood that. In terms of the non-DNBi subscriptions, so customers that are on what we would call our oldest, what we call, annual programs, which is transactional usage, that is based on price. And the way you can manage your spend is you consume less data. Is there a price concession? Byron -- not really -- well, how would you describe the pricing situation in North America?
Byron C. Vielehr: Well, I think you framed it up right. DNBi continues to hold up quite well. The platform from a lift perspective, mid-single digits, we're very pleased with that and not seeing eroding retention rates. When you look at the pressure in RMS, we see pressure on the non-subscription side -- the non-DNBi prescription side and that’s transactional. And people are managing their consumption to a budget. So they have a $10,000 for credit reports, they're managing up to that budget and trying to manage those costs. So we've seen pressure on that. And we talked about this in the last call, pressure on projects, RMS projects had gotten a lot of pressure. We're starting to see some trends, as I commented on earlier, where projects are coming back to life. We had seen people look at projects, and we're either making them smaller in project and sales. They may want large data buys or they may want just core portfolio, and they're trying to manage their spend. It looks like that's starting to come to life. Underlying trends are looking better. So I would just bifurcate the business into these pieces, Bill.
William A. Warmington - Raymond James & Associates, Inc., Research Division: Okay. So is the fact you -- to make up for the lower pricing on higher -- with higher volume? Or what's the pricing strategy going to be there going forward?
Sara Mathew: Well, it's not lower pricing. See, sometimes people just say, "I'm not going to do this piece of work. I'm not going to stall my portfolio." And they have just walked away from a decision. We'd continue to believe that the way we address the situation is by putting more value on the table. So the investments in data that Josh talked about earlier, DNBi, this side of the platform is holding up well, as well as customers coming up -- coming to us and asking us for help with completely new cases, not close to our traditional business, I gave you a couple of examples, is the way we return the risk management business back to growth.
Byron C. Vielehr: And Bill, we're pretty careful on working with our customers. If they have a compressed budget on a project, we work with them. And if we need to size down a project, we'll size it down. But when we downsize the size of a project, we downsize the value of it. So we try to make sure that we are compensated well for the value that we provide, and we will adjust the value and the deliverable up or down, depending on what the customer has available to spend and on the problems that they're dealing with. And on the project side, there are pieces that are discretionary, and there are -- there is some timing involved in when they can spend money as well. We work very closely with our customers to make sure that we provide them the value, and we try to get into a box that they can afford.
Sara Mathew: That's why we expect second half RMS trends will be better than the first half. But for the full year, we do expect it will be down. And it's not until 2013 and beyond that we will get out what is a ratable business and, therefore, something that lives with us for 12 months.
William A. Warmington - Raymond James & Associates, Inc., Research Division: Well, it sounds like one of the themes that you're seeing -- and this is not a surprise, is that you're seeing increased price sensitivity from customers, which would be normal given the environment. I guess, my question to you is what gives you confidence that you're going to be able to capture incremental pricing or incremental share of wallet with the new products that you're going to be introducing later this year and into 2013?
Sara Mathew: Sure. I mean, the way we look, we have a couple of metrics, and I think that's the way to think about it. One is we do take a look at the pipeline, and the pipeline is largely developed and determined by customer request and customer demand. So that's for projects like our Portfolio Risk Manager, D&B Direct, which is actually pretty much an RMS product. That pipeline continues to grow, so that's something we feel very good about. In terms of the new use cases, we have preliminary data in the market in terms of actually exposing the value proposition to our customers. And that is another reason why we feel good that you ought to see this business turn around. Ultimately, we're going to have to put those numbers up. We recognize that, and that's what, as a team, we're very focused on delivering in the second half.
William A. Warmington - Raymond James & Associates, Inc., Research Division: Just a couple of housekeeping questions then. On the deferred revenue side, deferred revenue being down 4% year-over-year, any adjustments we need to make to that number?
Richard H. Veldran: Yes, let me take you through that just to give you the full clarity. So the reported number for the company was minus 4. 3 points of that came from the 2 divestitures that we mentioned at the end of last year, both the China market research business and the Japan partnering that we did. So 3 points are really just from that. There was also about 1 point from FX. So if you look, we had -- even on a revenue, we had 1-point drag from FX. So if you adjust for those from a company standpoint, we were flat. I will give you the breakdown because I know you guys use that as your model. North America, within that, was minus 1, so same as it was first quarter. But again, you see that in the RMS results, so it tends to follow to a degree the trends in risk. As risk starts to pick up, you'll see the deferred also start to pick up as the year goes on. International, if you adjust, again, for the FX and the divestitures, it was a pretty solid plus 6.
William A. Warmington - Raymond James & Associates, Inc., Research Division: And then some thoughts about how the year-over-year growth in North America, RMS, it ramps, if you will, in third quarter and fourth quarter, as if we’re going from the minus 5 into something that's going to [indiscernible]?
Sara Mathew: About flat.
William A. Warmington - Raymond James & Associates, Inc., Research Division: So I just want to know, is there going to be spread over the next 2 quarters, or mostly in the fourth? Or how do you see that playing out?
Byron C. Vielehr: It ramps gradually through Q3 and Q4 and starts to approach about minus 1 to flat in the fourth quarter.
Operator: Our next question comes from Peter Appert with Piper Jaffray.
Peter P. Appert - Piper Jaffray Companies, Research Division: So Sara, you've mentioned the ratable revenue recognition model, and I guess the hard part I'm having -- the challenge I'm having in terms of getting my head around things here is that to the extent that new sales presumably have been weak here in recent periods, the implication might be even with some substantial improvement in sales from new products here in the second half of the year, the lingering impact through at least the first half of 2013 would be negative revenue comps. Is that right, or do I have something wrong?
Sara Mathew: The way you want to think about how revenue actually builds up is the fourth quarter is a very, very important budget renewal season. And as much as we would've wanted PRM to be available for the fourth quarter, it wasn't released until the middle of December and we missed the renewal cycle. It is that trajectory that is playing out in 2012, so fourth quarter of 2011. For the fourth quarter of 2012, we're actually much better positioned. And as Byron mentioned, our Portfolio Risk Management product, PRM, is actually ramping up from a pipeline perspective. And that really bodes well for the 2012 renewal cycle, which will impact 2013. Beyond that, I give you a couple of examples of completely new use cases. These will actually go into market. I talked about our compliance solution that’s going to be in market by the end of 2012. That's a significant [indiscernible] solution, and I believe there is opportunity to do much more in the compliance space. And I also talked about the portal. These are what we believe will actually start to move the RMS trajectory. But like I said, for 2012, embedded in our guidance expectations is that RMS in North America will be down in the low single digits and, clearly, the second half better than first half. Does that help? Is that clear?
Peter P. Appert - Piper Jaffray Companies, Research Division: Yes. I guess the more important issue then is how we should be thinking about 2013.
Sara Mathew: And we're not going to provide guidance in this call, but we will be providing guidance in a couple of quarters here. And you'll continue to see the year unfold in Q3 and Q4. So...
Peter P. Appert - Piper Jaffray Companies, Research Division: How about, not guidance, but aspirations?
Sara Mathew: The aspirations of this company is unchanged, and I will stand behind those because I continue the immense opportunity and what were only beginning to unleash with MaxCV. I see the innovations, and you have not seen the half of it. We haven't even talked about some of the innovation we have in our innovation lab because don't we feel that is required at this point in time because there's still time to go. We're also starting to see all the many different uses for our products. There are third-party relationships that are developing and developing rapidly. There are third parties very interested in embedding our data in ways that you have never seen in the last 30 years. So I think what you'll see is a completely different and a completely new D&B, which at the heart was the reason why we made this investment. I will say, Peter, it has taken us longer than I had expected and I own that, and I am accountable for that. But it doesn't change the opportunities that I see.
Peter P. Appert - Piper Jaffray Companies, Research Division: Right. The -- just changing gears for a second. The 13% reduction in operating expenses year-to-year in the second quarter, Rich, you addressed this in terms of the drivers but it's pretty extraordinary. And I'm nervous that, frankly, maybe you’re taking expenses out that have to come back at some point or underspending in some areas because it doesn't seem like a sustainable level of cost reduction. How do you think about that?
Sara Mathew: Let me take it first, and then I'll ask Rich then to give you more detail. The approach we have to costs in D&B is unique, and it is a capability we have developed over the last 10 years. At the heart of it is reengineering, and at the heart of it is reinvestment. A very, very significant reinvestment was made in the second half, and it was really around data because we believe new data sets are required to put new value on the table, as well as focus around the things that makes the biggest difference. And with that as a backdrop, I'm going to turn it over to Rich because he has actually led this area for a long time.
Richard H. Veldran: That's right. So -- and that is an important part of it because what we did was, as Sara mentioned, we invested very heavily in the second half of last year. We knew that we wanted to increase our operating income and our margins pretty significantly going into this year. So what we did is we geared up a number of activities in the late third quarter last year and the fourth quarter of last year that we knew would pay benefits in this year, not last. So what you saw is a very increased investment in the second half of last year, reengineering activities done in the second half of last year that obtained the benefits now. There is also some timing. So we had probably a chunk of investment in the second quarter last year that was somewhat nonrecurring. There was some consulting work and whatnot that we did, so you get a little bit of that. But our philosophy is always we will reengineer to create investment funds and to deliver our bottom line and we take that responsibility very seriously.
Sara Mathew: We are heavily investing in this company. If you'd add up the MaxCV investment, the new product investment, the data investment, we are invested and investing.
Richard H. Veldran: And the last thing I'll add is when we did the additional reengineering in the second quarter of this year, it wasn't just because we wanted to deliver the operating income. It's because we wanted to also free up additional investment for the second half of this year, and Sara alluded to some data analytics investments that we're doing in the second half. We take that pretty seriously, and it's a pretty -- we have a nice chunk of additional spending we'll be doing. We're able to afford that because we've actually done some reengineering in the first half of this year.
Peter P. Appert - Piper Jaffray Companies, Research Division: Great. And just last thing, and so how should we think about the pace of the buybacks? Are you going to try to be opportunistic in terms of buying, or are you just going to lay it out on a more consistent pace?
Richard H. Veldran: As you know, we -- and if you look at our history, we tend to be a little choppy. We do tend to be opportunistic, although we don't share our plans in advance, certainly. So I would not expect it to be just some uniform blind repurchase program. It is going to be something that we analyzed and do at our own pace.
Operator: Our next question comes from Manav Patnaik with Barclays.
Manav Patnaik - Barclays Capital, Research Division: Well, firstly, just on the share buyback. Can you tell us what the -- I guess, the current share count is? I think the 47 you guys reported is probably your weighted average, is that right?
Richard H. Veldran: Yes, we have to pull the latest.
Manav Patnaik - Barclays Capital, Research Division: And I guess, just while you're looking that up, I mean, I know you just responded in terms of being thoughtful about the share buyback. I mean, clearly, the $200 million you did exceeds the $150 million to $175 million that you had guided and presumably baked into that EPS guidance, so I guess embedded in the high end of the EPS guidance that Sara mentioned. I mean, should we be expecting more like -- what have you baked in there? Maybe a sense around that.
Richard H. Veldran: Yes, I mean, I won't share that with you. What I will tell you is, obviously, the reason we're saying we'll be at the high end is because we've done a bunch of extra share repurchase. You will recall that we have a refinancing for a $400 million bond next April. And there's a chance we could go early on that because it's got a fixed coupon, and it would make some sense to go early and lock in. If we do that, there’d be a bit of a make whole on it. So we're looking at that as we think about our EPS guidance and all that’s factored in there. But I won't give you a specific plan on what we'll do in the second half for actual shares. Kat [ph] did pull the number. What are we at, 44...?
Kathy Guinnessey: 44 million 882 [ph].
Richard H. Veldran: I was going to say [indiscernible].
Manav Patnaik - Barclays Capital, Research Division: Okay. And just to the leverage as well, I mean, I think in the past, you guys have talked about keeping gross at under $1 billion, and you have except, I guess, this quarter. You just about crept over it. Just want to get a sense of, I guess, you talk about low interest rate, et cetera, like what your appetite for that is now, if it's changed.
Richard H. Veldran: Yes, no. I mean, what we typically do is we look at our free cash flow generation for the year, and we plan our repurchases with that. What we've said the only philosophically somewhat different thing now is, given the low interest rate environment and given what I would say is a very robust investment opportunity in the stock, we may buy a little bit ahead of our free cash flow generation. In the long run, we'll get back to sort of the normal levels of just spending our free cash flow. But yes, there is a period of time it could pop up.
Manav Patnaik - Barclays Capital, Research Division: I guess maybe asking in another way, like what would be the maximum leverage you would feel comfortable in running the business? I know in the past, you guys have just given sort of a gross debt number, but can you maybe -- just in terms of sort of a multiple, like what sort of leverage do you guys feel comfortable with?
Richard H. Veldran: Yes, what I would say to you is I'm not going to give you a specific multiple target, but I will say that it is important to us to be strong investment grade. It’s a very important piece. We're a conservative company. We tend to run a pretty conservative balance sheet. But right now is a unique time out there. In historic low interest rates, we have extreme confidence in our balance sheet and our free cash flow generation. So given that, it makes some sense to buy a little bit ahead of what we would normally do.
Manav Patnaik - Barclays Capital, Research Division: Got it. And my last question is I want to focus on sort of the negative growth areas. Can you help expand a little more on sort of the Salesforce.com pipeline you guys mentioned that was building up ahead of the expectations, how we should -- I guess, how we should assume the ramp-up, and maybe if you can, like, the size of that?
Sara Mathew: Go ahead, Byron.
Byron C. Vielehr: Sure. Manav, this is Byron. As I said, it's ahead of our expectations. It's not much net has showed up in our numbers. It's going to start to build in the back half of this year and into next year. I'm not going to get into specific size of it. And we think it will ramp into 2013. We believe it will be about twice the size in 2013 that it is this year. But it's completely ratable, but it just shows up in our revenue stream very slowly. It's also generating a fair number of new customers as well. And those are great cross-sell, upsell opportunities for us. They can buy a small piece of our value props through the Data.com platform. And so we're working through how do we cross-sell and upsell those customers.
Operator: Our next question comes from Shlomo Rosenbaum with Stifel, Nicolaus.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Last quarter, you guys talked a little bit about due to the economic environment, some people or some clients, the subscription-based contracts, had moved to consumption-based. Has that trend changed at all, or we're still seeing the same thing?
Sara Mathew: Byron?
Byron C. Vielehr: Yes. Now we're still seeing that. It's not a huge trend, but we have seen people moving onto the metered version of DNBi, DNBi Corporate, and it's been a great tool for them to get the full value of DNBi but buy it on a metered basis. We have found it to be a useful tool in the suite of products that we have. And as demand starts to come back, particularly outside DFIs, that could create some incremental revenue on the metered side, and people will probably start to move back to the subscription side. And so it just allows them to work through the cycle.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And in terms of like the product pipeline, you guys have talked a little bit about some of the things that are out there. Is there a plan as you move the investment and you complete the MaxCV investments to have -- kind of ramp up more investment into innovation? In other words, should we start seeing a lot more hires in tech investment that will come into more product development and things like that over the next several years?
Sara Mathew: Are you talking about costs? One of the things...
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: I'm talking about driving the top line, investing in order to drive the top line.
Sara Mathew: We are making all the investments we need to make to drive the top line. I think Josh talked about some of these ideas. We do have our pipeline that goes beyond what Josh talked about, which is what we call in early stage evaluation and development. And like I said, it's about focus, it is about reengineering and it is about reinvestment. And what you're going to see is we're going to stay with that play book into 2013.
Byron C. Vielehr: Shlomo, part of the MaxCV investment is actually to drop the cost of innovation pretty substantially. We've talked about this in the past. A lot of our new product development has just been quite expensive for us to do, and so introducing a Web service tier allows us to build products at a lower price point. So the way we think about it is our level of innovation is going to go up at actually at a lower cost than where we were.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And just given the commentary you've had about the stock being a good opportunity and expanding the -- a repurchase, have you guys consider doing a Dutch auction?
Richard H. Veldran: Look, we've -- at the moment, we don't have any plans. But we do actually look at all opportunities. And it's something in the future would we ever do one? Sure, I mean, it’s possible. Right now, it wasn't a plan.
Shlomo Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: I'm just saying, if the innovation is going to be starting to hit the top line next year, and you're actually pretty limited on what you can buy on a daily basis. And you think the stock is a great opportunity, it's an opportunity to go out here to the market and kind of signal that.
Richard H. Veldran: I mean, we'll tell you we bought a couple of hundred in the open market in the second quarter. So our float’s not tremendous, but we were able to buy a fair amount at a price that we like.
Operator: Our final question comes from Saba Hekna with New York Life Investment.
Saba Hekna: I guess, just a clarification on the capital structure questions that have been asked. If you could please just maybe define for us what you consider as a strong investment grade rating because, as you know, that's anywhere from BBB- to AAA. That’s my first question.
Richard H. Veldran: Yes, ultimately, the rating agency decides our rating. I do think that if you look at our history, we tend to be pretty conservative. We've always had a very conservative approach. And I don't see that fundamentally changing. So strong -- the rating agency will decide for me, but a strong investment grade is something that's important to me.
Saba Hekna: Okay. And may I just ask why you need -- why you said maintaining an investment grade rating is important? I mean, you generated, as you mentioned, a pretty strong free cash flow, and the company can sustain significant [indiscernible].
Richard H. Veldran: In an uncertain world, access to the capital market is important. We all live through the financial crisis, and to me, having a strong balance sheet and having access is an important thing to live in that world.
Saba Hekna: Okay. And just finally, I don't know if you'd be able to give me this, but I'll try. How much above that $1 billion comfort level of the gross debt would you be willing to go?
Sara Mathew: I don't think we will. I don't believe that we're going to go there, but thanks for asking.
Richard H. Veldran: Yes, the one thing I will add is if we go up, it's temporary in the short run.
Operator: I'm going to turn the call over to Sara for closing remarks.
Sara Mathew: All right then, everybody, let me just thank you all for joining the call today. I just want to ask and wish all of you a wonderful summer, and we'll be back with all of you in about 90 days. Thank you.
Operator: Thank you. And this does conclude today's conference. We thank you for your participation. At this time, you may disconnect your lines.